Operator: Ladies and gentlemen, greetings, and welcome to the Paysafe Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to hand the call over to Kirsten Nielsen, Head of Investor Relations. Please go ahead.
Kirsten Nielsen: Thank you and welcome to Paysafe's earnings conference call for the third quarter of 2024. Joining me today are Bruce Lowthers, Chief Executive Officer; John Crawford, Chief Financial Officer and Alex Gersh. Before we begin, a reminder that this call will contain forward-looking statements and should be considered in conjunction with cautionary statements contained in our earnings release and the company's most recent SEC report. These statements reflect management's current assumptions and expectations and are subject to factors that could cause actual results to differ materially from those forward-looking statements. You should not place undue reliance on these statements. Forward-looking statements during this call speak only to the date of this call and we undertake no obligation to update them. Today's presentation also contains non-GAAP financial measures. You can find additional information about these non-GAAP measures and reconciliations to the most direct comparable GAAP financial measures in today's press release and in the appendix of this presentation which are all available in the Investor Relations section of our website. With that, I'll turn the call over to Bruce.
Bruce Lowthers: Thanks, Kirsten, and thank you all for joining us today. Before I discuss our fantastic quarter, I want to start by saying that our hearts and thoughts are with our colleagues, customers and partners in Florida and the Southeastern US, who were impacted by the recent hurricanes. And I want to especially thank our business continuity team for their efforts to quickly support our employees who live in the affected regions. Next, I'm excited to welcome John Crawford, our new CFO. As you read in our press release, John brings with him more than 25 years of financial leadership experience with a strong background in the payments industry. I am confident that John's partnership will be extremely valuable as we move into the Paysafe's next phase of growth. I'll ask John to say hello and share his initial thoughts towards the end of today's call. We sincerely thank Alex for the work he's done over the past two years as CFO. I've really enjoyed working with him and he's been instrumental partner in stabilizing the business and improving our financial performance. Alex will stay with us through the end of the year, working closely with John to ensure a smooth transition. Now let's review our Q3 results. We have continued our momentum accelerating our higher quality revenue growth from the prior year, with revenue increasing 8% year-over-year or 7% on a constant currency basis to $427 million with Merchant Solutions growing 11% and Digital Wallets growing 4%, slightly offset by lower interest revenue. Adjusted EBITDA of $117.8 million was up 1% year-over-year and our adjusted EBITDA margin expanded 70 basis points in the third quarter compared to the first half of 2024, while making planned incremental investments as well as actions to reduce risk in the business. Additionally, we continue to focus on net leverage, reducing 8% from Q3 2023 to 4.7 times at the end of Q3 2024. Overall, our third quarter and year-to-date results highlight a strong year with our continued execution on our strategic priorities and our focus on delivering higher quality revenue growth, strengthening the business and progressively reducing net leverage. With that said, we are pleased to reaffirm our full year financial outlook for 2024 with revenue growth in the expected range of 7% to 8% and adjusted EBITDA margin in the range of 27.5% to 28%. Let's turn to Slide 4 for an update on our four strategic priorities for 2024. I remain pleased with the progress that we've made this year, as all of our initiatives remain on track or ahead of expectations. Let's start with the expansion of our sales capabilities. During the quarter, we booked 83 enterprise wins, which was up meaningfully from last year, demonstrating our continued momentum in cross-selling and winning new clients. On our hiring initiative year-to-date, we've welcomed 170 new sales reps, reaching our target ahead of schedule. As a reminder, this is a critical initiative to expand our reach and sales capabilities across both enterprise merchants and SMB merchants. Second, on our portfolio optimization, we continue to perform better than we expected, supported by our actions to grow the direct sales team and enhance our products with value added solutions and partnerships. Year-to-date, we've generated over $40 million revenue related to these initiatives, ahead of schedule to reach our target of $50 million for the year. Our investments in these initiatives are tracking to our expectations with some remaining spend expected in Q4. Our third priority for the year was to revamp our consumer acquisition efforts. Our marketing team continues to utilize new market testing strategies with the goal of building a scalable blueprint to drive user growth. Beyond our traditional acquisition efforts, we're also expanding our reach to new users through B2B2C partnerships. Last quarter, we announced a collaboration with Revolut to bring our e-cash service to Revolut's 10 million UK customers. Through this relationship, we're enabling their customers to deposit and withdraw cash seamlessly to and from their bank accounts at any of our 12,000 point-of-sale partner locations in the UK. Within the first three months, we've transacted with 28,000 unique Revolut consumers and we expect this to increase over time through further adoption in the UK, along with expansion to other markets. We look forward to launching a similar collaboration with a marquee client in the coming months. Finally, while still relatively small numbers, our revenue generated from new product introductions continues to be up significantly compared to last year, reflecting our sharpened focus on innovation and consumer experience. Turning to our Merchant Business on Slide 5. We saw solid performance led by double-digit growth in e-commerce, which represents about 15% of our merchant portfolio by revenue. North American iGaming revenue grew over 50%, reflecting merchant wins in the prior year and industry growth. We also continue to see strength in our cross-selling efforts. Out of the 83 enterprise deals booked in Q3, 28% of those were with existing clients, and our net revenue retention with enterprise merchants remains above 100%. Billable MIDs were down slightly in Q3, mainly reflecting our focus on the ideal customer profiles and derisking the portfolio. Revenue per new merchant was up double-digits and the SMB direct book grew 5%, reflecting the benefit of our investments to optimize the portfolio and our focus on driving stickier merchant relationships with greater lifetime value. Turning to Digital Wallets on Slide 6. In Q3, we saw transactions per active user grow 16% year-over-year, with positive trends across all products and average revenue per user grew 5%, supported by product initiatives and the ramp-up of merchants onboarded in 2023. This marks the seventh consecutive quarter of year-over-year growth for both metrics. We acquired 1.3 million users in the quarter, slightly up from the 1.2 in Q2 and stable year-over-year. Our active user base was 7 million and consumer acquisition cost also stable at approximately $17 in Q3. Again, we're seeing stability here with active users, along with improvement in the user engagement and experience. As I touched on earlier, we continue to improve our consumer acquisition strategies, while targeting a broader consumer base and enhancing our wallet platform to offer scalable model that supports sustainable growth. With that, I'll ask Alex to review the Q3 results in more detail.
Alex Gersh: Thank you, Bruce. Let's move to Slide 8 for a summary of our third quarter results. Total volume increased 7% year-over-year to $37.5 billion. Total revenue grew 8% to $427.1 million or 7% on a constant currency basis. Revenue growth reflects strong performance from our 2023 sales cohort, portfolio optimization and product initiatives. This was partly offset by a $3 million headwind from interest revenue. Adjusted EBITDA was $117.8 million for the quarter, an increase of 1% year-over-year, while adjusted EBITDA margin was 27.6%, a decline of 170 basis point, primarily reflecting the incremental investment as well as certain client exits related to derisking the portfolio. As Bruce mentioned, our initiatives remain on track and we expect to have a continued investment activity into Q4. On an LTM basis, unlevered free cash flow declined 3% to $318.7 million mainly due to timing and tax related items and reflecting a 68% conversion rate, which is in line with our expected conversion range. Adjusted net income was $31.4 million and adjusted EPS was $0.51 per share, down from $0.57 in the third quarter of last year. This mainly reflects an increase in our adjusted effective tax rate, which was 35% in Q3, primarily due to the recognition of BEAT tax expense in the US totaling $3.5 million related to growth in the US and disbursements to non-US entity. This includes roughly $2 million of catch-up attributable to prior periods. Excluding this catch-up, the rate would have been approximately 30%. Going forward, we expect an adjusted ETR in the range of 26% to 30%. These increases were partly offset by lower interest expense, reflecting lower debt and interest rates. Let's move to Slide 9 to discuss the segment results. Starting with Merchant Solutions, volume increased 8% year-over-year to $32 billion and revenue increased 11% to $241.1 million. Growth was driven by strong double-digit growth within our e-commerce business led by iGaming. The remainder of the Merchant segment grew 8% year-over-year, reflecting our strategic initiatives to expand our sales capabilities and optimize the portfolio. Adjusted EBITDA was $52.6 million, a decline of 8%, reflecting continued investment in our 2024 initiatives and in our actions to derisk the portfolio as we have discussed. Turning to the Digital Wallet on Slide 10, volume increased 5% to $5.9 billion and revenue increased 4% to $190.9 million primarily driven by products and sales initiatives, along with the solid growth from Merchant onboarded last year, partially offset by lower interest revenue. Foreign exchange impact were immaterial to the segment growth relate in Q3. Adjusted EBITDA was $84.1 million, an increase of 5%, while adjusted EBITDA margin expanded 40 basis points. Turning to Slide 11, we continue to strengthen our balance sheet and focus on disciplined capital allocation. At the end of the quarter, total debt was $2.4 billion and net debt decreased by $39 million from the second quarter. Our net leverage ratio further improved to 4.7 times compared to 5.1 times in Q3 of 2023. As a reminder, we have approximately 25 million remaining in our share repurchase program. We remain confident that our solid cash flow generation will enable us to continue investing in the business, while also deleveraging and returning capital to the shareholders. Moving to full year outlook on Slide 12. Based on our strategic progress and results-to-date, we are maintaining our revenue and adjusted EBITDA guidance for 2024, which we have updated on our last earnings call. Just to reiterate, our guidance reflects full year reported revenue to be in a range of $1.713 billion to $1.729 billion which is higher than our initial 2024 guidance provided at the beginning of the year. We continue to expect adjusted EBITDA to come in between $471 million to $484 million reflecting adjusted EBITDA margin between 27.5% to 28%. I'll note that the Euro to USD exchange rate averaged 1.1 for Q3 and approximately 1.09 quarter-to-date in Q4 and has recently trended lower. As a reminder, given our geographical mix, every 1% weakening of the Euro versus the US dollar has an unfavorable impact of approximately $6 million to $7 million on revenue annualized. Lastly, I want to reiterate that we continue to expect our net leverage to be between 4.6 times and 4.7 times at the end of the year. So we've achieved that a quarter ahead of schedule. And finally, I want to welcome John and also express my gratitude to my colleagues at Paysafe. Through a collective effort, we were able to improve our financial performance while reducing debt and leverage. I am grateful for the opportunity I've had to contribute to these stronger results and the company's broader transformation. Now, I'll turn the call over to John to say a few words.
John Crawford: Thank you, Alex, and I'll be brief. Since coming on board, I've had the opportunity to meet our teams across multiple locations. And I'm impressed with their dedication and drive to succeed. I've been following this business from the outside for many years and knew it had very interesting assets combined with attractive end markets. Now I can add in the quality of the people and that's a great formula for success. A few areas of opportunity stand out to me. And these early observations will help shape my priorities as we close out this year and prepare for next year and beyond. First, we've got too many systems and we have the ability to achieve meaningful efficiencies there. Second, I believe we can improve internal capital allocation to generate more value for our customers and better returns for Paysafe. Finally, I will focus on cost discipline as we continue to scale and drive margin. To wrap up, I am thrilled to partner with Bruce and the team to build upon the progress to date and to unlock new opportunities to drive growth and operating leverage. And with that, I will turn the call back over to Bruce.
Bruce Lowthers: Thank you, John and Alex. Our performance throughout 2024, including 8% revenue growth year-to-date showcases continued execution on our priorities and our focus on delivering higher quality, sustainable revenue growth. At the same time, we're investing in our future and progressively reducing net leverage. I remain highly confident that we are taking the right actions to drive continued momentum in 2025 and beyond. I want to thank everyone on the Paysafe team for their persistent dedication and hard work throughout this turnaround. While we have more work to do, our progress has been remarkable over the last couple of years. And now as we continue to focus on getting better each quarter, we have a clear and exciting path to the next chapter of our journey. We are making our own weather. With that, we will open the line for your questions.
Operator: Thank you. Ladies and gentlemen, we will now be conducting a question-and-answer session. [Operator Instructions] The first question comes from Andrew Harte with BTIG. Please go ahead.
Andrew Harte: Hey, thanks. Good morning and welcome, John. Excited to work with you going forward and good luck, Alex. Thanks for all the help and support. Bruce, you talked about the portfolio optimization efforts being ahead of schedule, including the $50 million of revenue benefit this year. I know in the past we talked about kind of those same efforts should yield about $100 million benefit in 2025. So is that still the case? How should we be thinking about some of those portfolio optimization efforts and the revenue contribution next year? And kind of what has been the key to be ahead of schedule to-date?
Bruce Lowthers: Yes, Andrew, look, thanks for dialing in and joining us this morning. Look, we feel like we're making great progress against the four initiatives. I think, as we said in the prepared remarks, we're on track or ahead with each of them. Each of those have kind of a little bit different spin on it. But to your question specifically on the $50 million we're trending a little bit positive there against that number as we outlined. When we calendarize that for next year, we see really solid growth with that. So we have really excellent, as we sit here today, we have excellent visibility into revenue growth and accelerating EBITDA margins and reducing our net leverage as we kind of move into '25. I don't want to get ahead of ourselves. Q4 is usually our next year discussion of kind of where we're going. But now today we have really good visibility unlike years past as to kind of what the outcomes will be. So we feel very good about that. I think the other thing that we talked a little bit about is the hiring. So we're ahead on the hiring 170 people. So we're probably maybe a little more than a quarter in front of that from what we originally planned. That probably spins out another couple of $1 million of investment this year as we look at it, but it's worth because the team is performing at a high level. We see really good growth within our sales organization year-over-year. And we think that that's going to pay off as we move into '25 and '26. So these, as we talked about a quarter ago, these are decisions that are driving a longer term outlook and output. And so we feel very confident about these are on track and the right thing for the company to be doing.
Andrew Harte: That's helpful. Thanks. And then on the Revolut partnership, you called out the 28,000 transacting users with the e-cash partnership into a base of about 10 million in the UK. And I think there's about 4x that globally Revolut users. So I guess what's your expectation for the ramp with those UK customers and kind of what could the timeline be to expanding into other regions with Revolut as well?
Bruce Lowthers: Yes. I think you'll see that continue to expand through 2025. It's going to be a nice growth item for us. I think you saw it probably as well. We announced the Deutsche Bank partnership as well prior to the call last week. So we have another similar one with a much larger client base. So this is a kind of new initiative, really leveraging the assets that we have in Europe. Keep in mind, we've got over 600,000 merchants across the European landscape. So this is really a great opportunity for us to do something unique and different than what we've done historically, in essence, allowing for cash deposit and withdrawal at any one of our retailers across Europe. So, we're very optimistic about how this kind of continues to go. And we think there's a lot more room here. I think we'll look to continue to add and sign other institutions to this type of model.
Andrew Harte: Thanks. And then just last one for me, Alex, with the higher risk merchants rolling off, did we kind of see that impact in the merchant gross margin this quarter with those higher risk customers rolling off? And then, I guess, kind of thinking forward when we're thinking about the merchant gross margin mix, can you just remind us or help us kind of frame it up how we should be thinking about it longer term especially as it pertains to the direct [indiscernible] over e-comm channel mix? Thanks.
Alex Gersh: Yes. Sure. On the first question, yes, definitely. We said they were high margin, but they're not sustainable. And so you'll see it on the EBITDA margin, you see it on gross margin and you, of course, see it on revenue. In terms of overall, in terms of the how you should think about gross margin, to be honest with you, the way we think about it, the way I think about it, we focus on our revenue and we focus on our EBITDA. And as John said, he's going to continue to focus on efficiency to try to drive that EBITDA margin higher. What's going to happen to the gross margin, it's really hard to predict at this point.
Bruce Lowthers: I would just add, as we said coming into the year that we would see margin acceleration from the front half to the back half of the year. We talked about that in our prepared remarks as well with 70 basis points expansion from the margin at the front half of the year, the EBITDA margin at the front half of the year to the back half. So, we're executing exceptionally well navigating the optimization of some of our portfolios and margin expansion, as we said. And we feel like we're in a great position, as we said earlier in the year, to see margin expansion and as we move into '25. So, none of that has changed from our view as we sit here today.
Andrew Harte: Thanks, team. Nice quarter.
Operator: Thank you. The next question is from the line of Trevor Williams with Jefferies. Please go ahead.
Spencer James: Hi. This is Spencer James on for Trevor Williams. Thank you for taking the question. I wanted to ask a bit of a preview of the playbook for FY'26, just given a lot of the initiatives in FY'25 so far have appeared to really pay off. So curious if next year will look like more of the same or if there -- if we should expect a bit of a shift in investment priorities?
Bruce Lowthers: Yes, great question. I think when we do our next earnings call in March, we probably will have a cool slide on what we're going to do for '25. But I don't think we'll be sharing necessarily what we'll be doing with '26. But I think what you'll see in '25 is we have a clear path. We'll have a similar construct to what we have this year, where we have four or five initiatives that candidly the team is already working on for '25 that will set up '26. So I think the playbook is very much established at this point. We're taking on just a few projects, executing well against those projects that will drive particular outcomes. And so we're very focused on getting off to a good start here in '25. And as I said, the projects are identified, we're already working them and we feel pretty good about that. So we'll '26 is just a little too far out there for us to start sharing just yet, but we definitely have a view and a path on where we're going.
Spencer James: Yes. Thank you for that. Apologies. I did mean to say FY'25 getting ahead of myself as well. And then maybe just as a follow-up, I was wondering if you could provide an update on the health of the pipeline just in the context of achieving growth targets for next year and any thoughts on mix shift of opportunities within the pipeline maybe?
Bruce Lowthers: Yes. Look, our pipeline is really strong. On the enterprise side, really solid growth, 83 enterprise deals for the year. It's basically double what we had a year before. We're seeing really solid growth within those numbers. And so feel very good about what Rob and the sales team are doing. I think the product organization is starting to come together. We're seeing good initiatives starting to emerge there. So we feel very confident as we sit looking at our pipeline, looking at the things that are coming for '25. Like I said before, we have pretty good visibility into how '25 is shaping up already. So feel confident about that.
Spencer James: Thank you for taking the questions.
Bruce Lowthers: Thank you. Appreciate it.
Operator: Thank you. The next question is from the line of Paul Obrecht with Wolfe Research. Please go ahead.
Paul Obrecht: Hi, thanks. This is Paul Obrecht on for Darren. It's great to see that you've reached the goal of 170 adds to the sales organization. Can you touch on the progress in ramping these new hires and when you expect them to be fully ramped at kind of a normal run rate of productivity?
Bruce Lowthers: Sure. Happy to do that. So, as some of you may recall, what we talked about is our enterprise sales team generally takes about six months to get fully ramped. So accelerating hiring really is about driving more opportunity into '25, getting them on board quicker, so that we can really maximize the impact in '25. When you look at our SMB sales organization, they get online a little faster. So they're getting online typically within three, four months. And so a little quicker ramp there. What we can share so far as we look at both the enterprise and the SMB channel, I would say, the enterprise team is probably outperforming our expectations slightly and the SMB is probably right on expectation. And but there's a lot of people for us adding. Just to put it in context a little bit, we basically have doubled the size of the sales team in the last few months. So there's a lot that we're absorbing, a lot of processes that had to be worked through on onboarding training and all those things. But overall I think the team is doing a very good job with that and we feel like it's progressing on track.
Paul Obrecht: Great. Thank you. And then as a follow-up, it looks like SMB direct decelerated to around 5% from 10% last quarter. Is that mainly reflective of the decisions to exit risky merchants? And can you just provide some color on what you're seeing in this part of the portfolio and kind of what your expectations are going forward?
Bruce Lowthers: Yes. Look, as we talked about, we looked at kind of where the market was going, what we saw kind of emerging from a regulatory standpoint and we decided to start being proactive instead of being reactive as we had been historically as a company. So we decided there were certain merchants that were the highest of risk that we no longer wanted to be associated with. So, we started taking advantage of the fact that our growth was significantly ahead of where we thought it would be at this point. And we started laying off some of those merchants from our portfolio. And that's what is driving the SMB decline. When you look at internally as we look at our revenue walk, the same-store sales, the new sales, those things are progressing very, very nicely. And it gave us the latitude to prune some of the portfolio and still and keep in mind, we're still driving to a number that is above what the midpoint was at the start of the year. So when we look at the original midpoint of expectation of revenue is around 6% and change just over 6% growth. We're going to be obviously above that as we've given the guidance for the year. So, it's a great year. We're making a lot of progress in the transformation and setting ourselves up for a good solid '25.
Paul Obrecht: Got it. Appreciate the color. Thank you.
Operator: Thank you. [Operator Instructions] The next question is from the line of Timothy Chiodo with UBS. Please go ahead.
Unidentified Analyst: Hi. This is Jing on for Tim. Thank you for taking the question. I wanted to touch on your value added services opportunities. It's encouraging to see you're ahead of the 15 million 2024 revenue. In last quarter you highlighted an integrated loan program for short-term working capital support for your partners. And we saw Paysafe being highlighted by [indiscernible] as a commercial lending customer. So could you expand on this partnership and any unit economics that you can share impact on take rate or any other value added services you could highlight? Thank you.
Bruce Lowthers: Yes. Thank you for the question. Yes, we are a partner of theirs. The loan program is a great program that as you look at our client base, we've got in aggregate around the world, we've got close to 900,000 merchants. So for us to have a program that offers working capital loans makes a lot of sense. I think you'll see that from our standpoint, this is not something that we underwrite or take any risk on. This is something that we have just a referral arrangement with or origination type of deal with them. I think we will add others to that mix as we go forward, respective of the different geographic markets that we're operating in. I think this is just the beginning. I think you'll see us offer a large number of other solutions much like as probably everyone knows, we sell a lot of Clover, one of the largest resellers of Clover. You'll see our programs start to really take on more of that where we're adding more and more ancillary services to our merchants. At the end of the day, what we're trying to do is provide the merchants the opportunity to run their business the best that they can. And that's really what we're trying to do on the merchant acquiring side.
Alex Gersh: And just to add, just to confirm, yes, our take rate, if you look at Q3 of last year in the Merchant Solutions business versus Q3 of this year is off of it.
Bruce Lowthers: Thank you.
Unidentified Analyst: Awesome. Really appreciate the color. I also wanted to follow-up on Clover, so really glad you mentioned it. So related to your distribution of Clover, how should we think about the potential overlap of value added services offered by Paysafe and by Clover on the merchant side? Thank you.
Bruce Lowthers: Yeah, that's a great question. Look, I would say that Fiserv is a great partner of ours. We work with them quite a bit on product innovation and ideas on how to expand distribution of our products and their products to the compliant entities customer base. So, we feel very good about the opportunity to continue to expand -- us for expanding the products that we sell from Fiserv into the market. And we feel very good about the opportunity in front of us. So I think something we'll continue to be pushing on here as we move into '25.
Unidentified Analyst: Really appreciate the color. I'll pass it on. Thank you.
Operator: Thank you. As there are no further questions, I would now like to hand the conference over to Bruce Lowthers, CEO, for closing comments.
Bruce Lowthers: Well, thank you. Thank you, everyone, for joining us. I want to thank, obviously, everyone here at Paysafe for a great quarter. Again, just a reminder, 8% growth. We saw margin expansion from the front half of the year to Q3. So excited about that. It really needs to be reiterated again the net leverage ratio coming down to 4.7 as Alex touched on meeting kind of our full year obligation already a full quarter in advance. We're excited about that. So really a strong quarter for us with solid top and bottom line and net leverage reduction. So thank you very much. Appreciate everyone dialing in today.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.